Operator: [Operator Instructions] I will now turn the call over to Jennifer Crawford, Director of Investor Relations. Please go ahead.
Jennifer Crawford: Thank you, Carmen. Good morning and thank you for joining us today to discuss CommScope's second quarter 2016 results. With me on the call are Eddie Edwards, CommScope's President and CEO; Mark Olson, CommScope's Executive Vice President and CFO; and Phil Armstrong, CommScope's Senior Vice President of Corporate Finance. You can find the slides that accompany this review on our Investor Relations Web site. Now to our housekeeping items; on slide two, you will find our cautionary language related to forward-looking statements. During this conference call, we will make forward-looking statements regarding our financial position, plans, and outlook that are based on information currently available to management, management's belief, and a number of assumptions concerning future events. Forward-looking statements are not a guarantee of performance and are subject to a number of uncertainties and other factors, which could cause the actual results to differ materially from those currently expected. For a more detailed description of factors that could cause such a difference, please see our second quarter 10-Q filed earlier this morning and other SEC filings. In providing forward-looking statements, the company is not undertaking any duty or obligation to update these statements as a result of new information, future events or otherwise. Please note that all dollar figures and percentages are approximations. In addition to GAAP information, we will provide certain non-GAAP measures. We believe that presenting these non-GAAP or adjusted measures provides additional meaningful information to investors. Detailed reconciliations of GAAP to adjusted measures can be found in the appendix to our slide presentation. In addition, we will be discussing pro forma BNS results for the second quarter of 2015 as though the BNS acquisition had been completed on January 1, 2015. This pro forma information has not been prepared in accordance with U.S. Generally Accepted Accounting Principles. Accordingly the pro forma financial information may not be indicative of the results that would have been realized. Slide three is our agenda for this morning. Mark will review the quarter results, highlight our two segments' performance, discuss cash flow, liquidity, and capital structure, review our BNS integration progress, and then provide our outlook for the third quarter and calendar year 2016. Finally, Eddie will make closing comments before we open the line for Q&A. To make sure everyone has the opportunity to ask a question on today's call, we request you ask one question and return to the queue for any additional questions. I will now turn it over to Mark. Mark?
Mark Olson: Thanks, Jennifer, and good morning all. Let's turn to slide four for a summary of our second quarter results. We're pleased to report second quarter sales of $1.31 billion, which was consistent with our guidance, and an increase of 51% year-over-year. On a pro forma basis for the BNS acquisition, revenue declined 2% year-over-year driven primarily by slow spending in international markets. Foreign exchange rate changes negatively affected revenue by 1% in the quarter. Orders were $1.33 billion during the second quarter, which provided a book-to-bill ratio of just over one times. The book-to-bill in our Connectivity Solutions segment was 1.09 times and the book-to-bill in our Mobility Solutions segment was 0.92 times. We are very proud of our second quarter gross margin of 42%, which was an increase of more than 600 basis points year-over-year. The increase was driven by higher margin BNS products, favorable changes in product and geographic mix, and an ongoing focus on cost management. For the quarter, GAAP operating income rose 68% to $184 million. Excluding intangible amortization and other special items, non-GAAP adjusted operating income increased 65% year-over-year, to $291 million or 22% sales. This increase was also driven by the addition of BNS, favorable mix, and cost reductions. For the quarter, GAAP net income rose 36% year-over-year to $62 million or $0.32 per diluted share. Excluding special items, non-GAAP adjusted net income increased to $145 million or $0.74 per diluted share, up 51% year-over-year. I'll now discuss our second quarter performance in both of our segments, starting with the Connectivity Solutions segment, on slide five. Connectivity Solutions segment sales more than doubled year-over-year due to incremental revenue from the BNS acquisition. On a pro forma basis for the acquisition, Connectivity Solutions segment sales were essentially flat year-over-year. Foreign exchange rate changes negatively affected revenue by approximately 1% from the year-ago period. Low double-digit growth in North America Fiber-To-The-X was offset by slower spending in other major geographic regions. Clearly North American outdoor network solutions were a bright spot for us this quarter. North American service providers continue to drive fiber deeper into their networks for both residential and commercial applications. Order input continues to be very strong, but we remain capacity-constrained. We've been adding fiber capacity, and expect to continue doing so for the remainder of this year. We believe that we are on a multi-year build in the U.S., and expect solid growth in this portion of our business for the next several years. The results of our indoor network solutions business were mixed. Our indoor solutions, which are found in commercial buildings, datacenters, central offices, and cable TV headends are more affected by the overall economic environment. While our North American Enterprise business posted mid single-digit year-over-year sales growth in the quarter, it was more than offset by slower sales outside the U.S. We saw particular caution in both Europe and the Middle East. In the quarter, Connectivity Solutions segment adjusted operating income increased 133% year-over-year, to $169 million or 22% of Connectivity sales. The nearly 110 basis point year-over-year increase in adjusted operating income margin was due primarily to favorable product and geographic mix, and benefits from cost reduction initiatives. While we're incrementally more cautious on the global economic environment, we delivered another solid quarter of increased profits. In the second half of 2016, we expect continued strong demand for outdoor network fiber solutions in North America, driven by new services and competition in the access market. We also expect improved performance in the back-half of the year in indoor networks driven by growth in datacenters. Let's turn to slide six to discuss Mobility Solutions segment performance. Our Mobility Segment sales increased 3% year-over-year, to $529 million, primarily due to the BNS acquisition. On a pro forma basis for the acquisition Mobility Solutions segment sales declined 5% year-over-year primarily due to product line pruning. Foreign exchange rate changes had a negative impact of approximately 1% on Mobility segment sales in the second quarter compared to the prior year period. North America remained a bright spot for Mobility Solutions as well. Ongoing investment and densification by most North American service providers drove upper-single-digit pro forma sales growth in the U.S. despite ongoing product rationalization within the BNS wireless portfolio. However, this sold performance was offset by declines in other major geographic regions. Sales were particularly slow in India and the Middle East. We're pleased with our Mobility segment's profitability in the quarter. Adjusted operating income increased 18% year-over-year, to $122 million or 23% of sales. The nearly 310 basis point year-over-year increase in adjusted operating margin was primarily driven by favorable product and geographic mix, as well as benefits from cost reductions. Looking ahead, we now expect growth in the North American market to moderate in the back-half of the year based on recent order patterns. However our overall calendar year 2016 expectations for North America have generally remained unchanged from earlier this year. In the international markets we remain cautious given global economic uncertainties and delays in the Indian spectrum option. Longer-term, we expect demand for our Mobility solutions to be positively affected by wireless coverage and capacity expansion in emerging markets, and the increase in demand for mobile broadband in developed markets. Today, we are assisting operators in transitioning for a more flexible and efficient network, including adapting the network virtualization, Cloud RAN, and 5G. Next I'll discuss cash flow and liquidity on slide seven. During the second quarter CommScope generated $151 million of cash from operations, invested 16 million in capital expenditures, net of $2 million CapEx related to the BNS acquisition, and paid $15 million in integration and transaction costs. We also paid $10 million debt redemption premium to redeem $300 million of our PIK note in June. Adjusted free cash flow for the quarter was $160 million more than double the prior year period. This increase was driven by the BNS acquisition, the year-over-year improvement in profitability and an ongoing focus on improving working capital performance. Adjusted free cash flow the 12 months ended June was $559 million or up 42% year-over-year. We ended the quarter with $875 million of total liquidity comprised of $516 million of cash and cash equivalence, availability under our credit facility of $359 million. We are very pleased with our strong cash flow performance, as we've noted many times we focus on bottom-line results. We continue to prune less profitable product lines which dampen the tough line growth that drive enhanced profitability in cash flow. Turning to slide eight, I will discuss our capital structure. The left side of the slide shows our capital structure and net leverage ratio of 4.5 times at the end of the quarter down from five times at the end of last year. The right side of the slide shows our major debt maturities after lowering up to the BNS acquisition we are now focused on driving down leverage. We are pleased to announce today that we will redeem the remaining $237 million of the six and five eighth percent PIK notes on August the 29.This early and voluntary redemption will save us approximately 16 million in annual interest cost. After the final redemption of our PIK notes we will pay $537 million of debt during 2016 and $650 million since closing the BNS acquisition last August. As we said at our Investor Day we intend to pay down approximately $1 billion of debt post the BNS acquisition by the end of next year. Turning to slide nine, let's discuss the status of the BNS integration. We are pleased to announce we are accelerating and increasing our annual cost synergy target by $25 million. And I'd expect calendar year 2016 cost synergies of more than $100 million and annual cost synergies by 2018 of more than $200 million. As we've highlighted before we have more than 30 specific projects identified to drive BNS synergies. Teams across the company are working diligently to drive synergies while integrating the business effectively while we outperformed the initial estimates in essentially all areas, our operations team has found particular success. For example, we achieved cost synergies originally expected from the plant closure of our Sidney Nebraska operations, where we're redeploying assets to other facilities globally and are able to use those assets more efficiently. While early integration activities have been successful, we still have much hard work in front of us. We plan to begin significant IT systems cutovers during the fourth quarter of this year. We're focused on continuing to execute on our integration plans and drive significant shareholder value. And finally, our outlook is shown on slide 10, and I will highlight a few items. For the third quarter, we expect revenue of $1.26 billion to $1.31 billion; GAAP earnings per diluted share of $0.37 to $0.39 based on 196 million weighted average diluted shares and adjusted earnings of $0.69 to $0.74 per diluted share up 35% year-over-year at the midpoint. For the full year, we now expect revenue of $4.85 billion to $4.95 billion; GAAP earnings per diluted share of $0.91 to $0.96 based on 196 million weighted diluted shares and adjusted earnings per diluted share of $2.42 to $2.52 or up 33% year-over-year at the midpoint. And finally, we expect cash flow from operations of more than $550 million. The company's updated full year guidance reflects revenue expectations for a second half of the year that is comparable with the first half. Despite additional concern around the international markets, we are pleased to increase our full year earnings and cash flow guidance. And with that, I'll turn the call over to Eddie to discuss his thoughts on the quarter before the operator opens the call for Q&A. Eddie?
Eddie Edwards: Thank you, Mark. We are pleased to deliver a strong second quarter results that exceeded our expectations while continuing to make excellent progress on our BNS integration plan. We are particularly proud of record second quarter gross margin which reflects the impact of higher gross margin BNS solutions, favorable product and geographic mix, and cost synergy realization. As Mark indicated, the North American market was the bright spot for the quarter. In this market, we had solid growth in both connectivity and mobility segments for the first half of the year. Looking forward, we continue to expect half-over-half growth in 2016 for connectivity solution segment, driven by continued strong demand associated with Fiber-To-The-X deployments. Our mobility segment is much the same. We delivered strong growth in the first half of 2016 in North America despite significant product pruning. While we expect lower second half sales compared to the first half of the year, our overall annual performance in North America is generally consistent with our expectations heading into the year. The more significant change in our mobility outlook over the last two months has been related to internal business. Economic concerns in Europe and Latin America, as well as delays in spectrum auctions in India have made us incrementally more cautious. The slowdown in international business is expected to more than offset growth in North America. Despite the lumpiness of the wireless business, we do not see any material change in our long-term mid-single digit organic growth guidance for the company. Even with a stable wireless business in 2017, we believe we have a clear path toward modest top line growth for the full company. We are confident in our long-term position. This confidence in the future and strong cash flow positioned us to announce early and voluntary redemption of the $237 million remaining outstanding principal of our PIK notes. Additionally, we are focused on integrating BNS acquisition quickly and effectively, and are pleased to announce an accelerated and incremental $25 million targeted annual cost synergies. Year-to-date, we have achieved over $40 million in cost synergy realization and continue to ramp this number. We are well on track to achieve our updated plan. Finally, I would like to thank the global CommScope team for all their hard work, particularly with respect to the integration efforts. I am proud of our employees working tirelessly to deliver strong results like we saw in the second quarter, all while continuing to focus on the integration efforts. Overall, we remain focused on positioning the company for long-term success by delivering profitable growth while maintaining cost effectively or managing cost effectively. We are well positioned to help customers transition to the networks of the future with our robust fiber portfolio and technology leading wireless solutions. Now, we will be happy to answer your questions. And Carmen, I turn the floor over to you.
Operator: Thank you. [Operator Instructions] So, our first question will come from the line of Vijay Bhagavath with Deutsche Bank.
Vijay Bhagavath: Yes, yes, good morning. Yes, hi, Eddie, Mark.
Eddie Edwards: Hi, Vijay.
Mark Olson: Good morning, Vijay.
Vijay Bhagavath: Yes. I caught an interesting point, in the press release you mentioned about product rationalization. If you could elaborate on that further, would it be slower growth lower margin product that you would be looking to rationalize off the product portfolio? What's driving the product rationalization? And any thoughts on the road map, heading into the back-half and into next year? Thanks.
Eddie Edwards: Vijay, as I said at the Investor Day conference, we expect to deliver [ph] $100 million in product rationalization during the course of the year. As Mark said in his prepared remarks, much of that has come from the mobility part of what BNS was, and that's the DAS business. Basically that's where their business in mobility was. We have taken quick action in integrating that team with the CommScope team, and have rationalized some redundant products and some products that had either low margins or negative margins from our portfolio. Additionally, we continue to look at rationalization of low margin products throughout the CommScope portfolio as well as the rest of the BNS portfolio. So this is something that we have done over a long period of time with the company, and our focus is generating cash and bottom line profit. We understand it impacts our top line to some extent, but we think over the long-term it is the best thing for the company in maximizing our earnings.
Operator: Thank you. Your next question comes from the line of Rod Hall with JPMorgan.
Rod Hall: Yes, good morning guys. Thanks for taking the question. I guess I wanted to go back to the international business and the guidance, and try to juxtapose those two things. So you're reducing the full year guidance a little bit here. I assume based on your commentary, that's mostly international. I'm just wondering, Eddie or Mark, if you guys could give us some idea of specifically where you've reduced your expectations. It is Europe, is it mostly India? Just kind of help us understand where that expectation reduction came from, because we are clearly seeing some signs of weakness in Europe I think. Also on U.S. order visibility, it's great to hear you guys talking positively there. I wonder if you could just give us an idea, how much order visibility do you have right now, how far out into the backend of the year can you see, do you think? And just help us understand also the trends there. Are there small cell across whole [ph] backhaul, or are there other things going on in the wireless environment? Thank you.
Eddie Edwards: That's a lot of questions. Well, Rod, maybe I'll start with the -- cut it to your question on the second half in the international markets. Coming into the year, we had talked about maybe some room for a little bit of optimism in the modest recovery perhaps in Europe in the second half of the year. And quite honestly we aren't seeing that right now. Well, we don't see a material deterioration, but any optimism around a recovery in Europe is something that we cannot point to at this point in time. We'd also talked about the Indian market, a very strong grower for us in 2015. We saw good business there in the first half of '16, particularly in the Mobility segment, but with the push-out in the Indian spectrum auction we did see a material slowing in the rate of spend there during the second quarter. And so our outlook now in India is for a significant slowing, in particular in the wireless market for the second half. And then the third market we would point to is the Middle East. And certainly macroeconomic conditions there are a factor that we see driving a softening in business across both of our segments. The one bright spot that we have in the international markets right now is still in our, we would call, APAC region, or Asia absent India and China. There are still project activities on in the wireless spaces, as well as some of the fiber builds which you'll see in some countries, like Australia, that are giving us a continued modest growth in the Asia Pacific region, but overall macroeconomic conditions there have weakened, and we're seeing that in our outlook for the second half. In the U.S., we talked earlier about we expected the market to start slow and finish strong during the course of the year. The opposite happened. We did start slow in January, but it started to pick up and remain strong through this past quarter. And we expect it to be somewhat muted during the backend of the year from the mobility side. We have a very strong demand on the Fiber-To-The-X builds. I think we also said on the last call that we are capacity-constrained here in North America for the Connectivity Solutions business. We remain constrained. We are adding capacity as fast as we can. We've added over 3,000 people since the acquisition in this side of the business. So, that capacity will come online during the course of the back-end of this year, and be ready to be fully utilized in '17, where we continue to see very strong demand.
Operator: Your next question is from the line of Jess Lubert with Wells Fargo Securities.
Jess Lubert: Good morning. I wanted to follow-up on the last question. And I was hoping to provide some additional details on the U.S. wireless side, and perhaps you can help us understand the breadth of the order slowdown you saw as we entered the second-half? If that was one carrier or a number of carriers, and to what degree you think this is a temporary pause as they digest product they bought over the last couple of quarters or if this is a bigger slowdown due to the completion of some of their densification initiatives. And if you can help us understand where you're seeing the U.S. operators specifically prioritize their spend from a wireless perspective, you know, that would be helpful.
Eddie Edwards: Okay. It is more than one. It's a primary carrier, and then one that's smaller, but it is more than one. And it has to do more with the timing of buy as opposed to quantity of buy. As I said earlier to Rod's question, is that we expected the pace of buying to accelerate during the course of the year. And we saw that happen in the different timeframe. So I think there is inventory in the channel for a couple of carriers, and that will impact the order rate for some of the balance of the year. I think we do expect orders in the fourth quarter for '17. Some of our customers have talked about that. They do see a rebuild over that period of time. Some of this is also possibly a substitution to other parts of their business. We at CommScope are very fortunate that we have access to that full wallet, whether it be mobility or connectivity. And so, as I said at investor day, we're somewhat indifferent to where it comes from. We now have a more balanced company than we've ever had before. So we're fortunate to be able to get that revenue from both sides. The unfortunate part of that is we are capacity-constrained, and there is some limit to the upside that we could generate in the near-term from the connectivity side. And Jess, we had also pointed in the U.S. market to slightly better performance in Q2 in wireless than what we had anticipated. So, for the full-year, our outlook for the U.S. wireless sales are very much in line with the outlook we gave at the beginning of the year, which represents mid single-digit growth over 2015.
Jess Lubert: In terms of macro, metro cell, indoor antenna systems, do any of them standout as seeing more strength or areas where you're seeing the operators start to cut back.
Eddie Edwards: We had a lot of strength in the macro side of the business. The small cell or DAS side of the business started slow during the course of the year but has picked up a lot of pace of late. And I think we see strength thought the balance of the year in that. We still remain on pace in our Airvana acquisition to have our new products developed during the course of late-Q4 to early-Q1. Everything is on target and expectations. We're in trials with multiple carriers globally. And so we think that small cell which would be used in the densification of the network will be a good driver for us next year.
Jennifer Crawford: Thank you, Jess.
Jess Lubert: Okay.
Operator: Your next question comes from the line of Kulbinder Garcha with Credit Suisse.
Kulbinder Garcha: Hi, thank you for the questions, just one for Eddie and one for Mark. Eddie, for you, like in the wireless mobile business can you just speak about [indiscernible] growth rate you are confident around [ph] it, because I think it's been almost two years since it has grown, and I know there's some geographic variations, but the confidence that that really is a low single-digit business, because when I look at the CapEx trend, at least globally, I can envisage how we might see a two-year downtrend even from here, until 5G deployments really start on a global basis. I'm trying to think, could CommScope in that environment actually even grow next year in wireless? And the second question is for Mark, just on gross margins. The business mix strength that you -- sorry, the better business mix that you spoke about, can you speak about, well, specifically which product lines are driving that, and the sustainability of it going forward? Thanks.
Eddie Edwards: Okay. I don't think that we see a material falloff over the course of the next year or so. These things, we have charts over the last multiple decades to show what's happened with the GEs [ph], and we're past the growth spurt part of 4G, and certainly here in North America. We have the rest of the world yet to build. We're just barely over 50% in 4G today. And so that will continue. I think what is hardest, and Mark mentioned in his narrative, the delay of the spectrum auction from July till at least October I think is impactful of our international side for the balance of the year, and maybe early into '17. The valuation that's been placed on that is enormous. And we have to see how it's taken when the auction does finally open. But that has slowed India considerably, and it was a key driver in '15 for our growth. And we had expectation of continuation. These are things that are somewhat out of our control, and really hard to forecast when we come down to these locations that have material impact. But what we would see, and I think what we would expect is a stable environment. Not much growth, not much shrinkage. But from a stable environment on the mobility side, in coming next year, we have not yet started the planning process. So this is just some, I think, some early indications of what we might see. We will manage to whatever that number is. Our focus repeatedly is on the bottom line to make sure that we generate the earnings potential of the company, but we are well-positioned -- continue to be well-positioned with all of our customers around the globe, and ready to participate in their growth as it comes. In-building wireless, I think we see a continuing growth there. That's going to be a very important segment. It will be, I guess, in unit cost it will be a lower price point than what we've seen in the past. So we will sell more units. There's still over 30 million square meters of underutilized space globally that need to be covered. This is something with densification [ph] that's not a nice thing to have, but for the efficiency of the network you're going to have to have these small cells to make sure you're not consuming enormous power from your macro sites. So we're highly optimistic about what Airvana is going to bring us, as well as I&E [ph] in our DAS program, both of which are on track now for our cells.
Kulbinder Garcha: How big is that business now, the in-building wireless, roughly speaking, of let's say wireless overall revenues would you say?
Eddie Edwards: Well, it still remains to be about a quarter of what our wireless revenues have been.
Kulbinder Garcha: Okay.
Mark Olson: And Kulbinder, just turning to your gross margin question. You'll recall that we achieved a record first quarter gross margin in the March quarter, of 39%, and in the June quarter at 42%. That's an all-time record for the company. So we're very pleased with that. We would point to a few factors that drive that. First, of course, is volume. Second is geographic mix. Last year, the mix of the overall company business was about 50-50 U.S. - international. We expect in 2016, that mix to modulate a bit toward the U.S., maybe 55-45. And so, a continuing strong U.S. market, as we see at this point, will be a help for us. And then the synergy realization, I think as Eddie has commented, about half of our synergies are realized in cost of sales. And so we're seeing the benefit of that as well. So we like gross margin that starts with a four. We've gotten accustomed to that, and we don't want to see that change.
Operator: Your next question comes from the line of Amir Rozwadowski with Barclays Capital.
Amir Rozwadowski: Thank you very much, and good morning folks.
Eddie Edwards: Hi, good morning, Amir.
Amir Rozwadowski: I was wondering if we could touch upon a bit more on the strong FTTx build that you're seeing in North America relative to the capacity constraints that you're seeing. In terms of some of that demand perspective, how do you think about that demand over the mid-to-longer term? And just thinking about it relative to what we're hearing with respect to some of the fiber builds for the carriers as well as some of the demand outlook for some of the datacenter providers with respect to fiber, I'm really trying to get a sense of in terms of multi-tier demand levels for you guys, and how sustainable that is?
Eddie Edwards: Okay, I'll talk about maybe the outside a little bit. We've had a lot of discussions with our service provider that would be the MSO market as well as the carrier service providers, not just here in North America, but around the world. What we see certainly here, a big part of our market, strong demand on a multi-year basis, expectations of material increases year-over-year to come beginning now. And that's why we're building capacity for the connectivity side as fast as we can. I've said that we have increased 3000 or so people since the acquisition, virtually all of that and maybe more than 100% of that is in the connectivity side. So, we are ramping up but we are still capacity-constrained based upon the growth of demand even with that growth of our manufacturing base.
Mark Olson: And Amir, just to put the outside plant market into perspective; that represents our revenue into that market represents about 25% of the total company sales and that's where we are seeing the strongest rate of growth right now.
Amir Rozwadowski: Great. And then if I can, just one quick follow-up; I know in the past you folks have indicated 2017 free cash flow guidance greater than 500 million. It seems as though there are some moving pieces on the top line, but synergy seem to be coming in better than expected. Any color in terms of whether there is an uptick relative to that? You feel more comfortable with that trajectory, or anything on those lines?
Eddie Edwards: I would tell you, Amir that we continue to feel with that outlook for next year. Certainly geographic mix is little bit of a helper there for us but we don't expect to have any material movement in capital expenditures. We've been managing our working capital very carefully, the increase in profitability and then our debt reduction program. All of those combined have provided a nice tailwind for us in cash flow.
Amir Rozwadowski: Great. Thanks very much for the incremental color.
Eddie Edwards: Sure.
Operator: Your next question comes from the line of Toll Leone [ph] with Bank of America Merrill Lynch.
Dan Bartus: Hi, this is Dan Bartus on for Toll. Thanks for taking my question. Two quick ones from me quickly; first, just wanted to dig into your thoughts on the small cell and metro cell timing a little bit more. So we had been hearing that things might be moving slower than expected due to difficulty dealing with municipalities. Just wondering if you guys think that's one of the biggest driving factors there. And then just generally on technology as we move to LTE Advanced and 5G, the internet technologies are getting increasingly complex when you're modeling technologies. So, I'm wondering how confident you guys are with your antenna roadmap to 5G, and if you see the need to either increasing R&D efforts or maybe some more tuck-in acquisitions? Thanks.
Eddie Edwards: Okay. We've talked a lot about building anything on the outdoors or indoors and site acquisition, power, and backhaul are the three components that we see. It is hard to get access to whether you have to -- for backhaul if you have to dig up the street or pull attachments or anything like that. So, that does take more time than maybe people would anticipate. And a lot of the aesthetics of the bills have to be enhanced, and I think we are well-positioned to do that with a lot of our hidden antenna capabilities. But, I think that is something that impacts the timing. I think also the technology and make sure you don't have small cells would interfere with each other's critical and that's one of the key aspects of our one cell that being developed now at Airvana. So we think we are well-positioned. I think that market is going through the in-earnest build, and I do think that it probably has started a little slower than anticipated because it has been advertise for a long time and there is not so much out there in the field. We have a million and a half devices Airvana over the course of the time that we inherited. And so, it won't be a growing market and one that we should participate well in. Your last question, Dan?
Dan Bartus: Yes, just on the antenna roadmap to 5G, you guys expect to have to increased R&D efforts, your tuck-in acquisitions, and just generally are things getting more competitive as you think about 5G antennas? Thanks.
Eddie Edwards: It certainly is probably going to be a change in design. I think it would be more reallocation of resources probably than increase in dollars. We have probably over a thousand R&D people within the company, and we all the times are needing to move them around. In the RF side, we have some very skilled people. I think they can adapt to whatever the needs are. We are active in consultation and testing and trials with many of the carriers here in North America. The standards haven't been set yet. And so it is an evolving process that we'll have to see what happens whether it becomes a, an active oriented antenna combination or whatever but those designs are in the top process now and we will be a participant.
Dan Bartus: Great, thanks.
Operator: Your next question comes from the line of Mark Delaney with Goldman Sachs.
Mark Delaney: Yes. Good morning, thanks very much for taking the questions. First question is on the BNS cost synergies. Can you help us understand of the $100 million you expect to realize this year. How much of that is already bagged into the run rate this next quarter. What sort of linearity should we think about from getting to the 100 million this year to the 200 million by 2018, and then that 50-50 ratio of the savings between COGS and OpEx, is that still the right spot to be thinking for the incremental BNS cost savings still to come?
Mark Olson: Sure, Mark. I think in Eddie comments, you may have heard him mention that, we are broadly in the range of about $40 million of the 100 million that we committed to 2016 haven't been realized now in the first half of the year. And so you will see that ramp as we move throughout the back half. And so lets you do the smoothing between the third and fourth quarters. But as far as we've hit a sits on the P&L about half of it is in cost of sales and we talked about some of the programs, some plant closures for example the one I had commented on in Sydney, Nebraska, there have been actions taken in the wireless business as you're aware. We had a facility in San Jose that we have announced the closure off. Some of the incremental actions yet to be taken and operations include rationalizing some of the distribution centers that we have around the world. So there is no - as we tell people there is no home runs here. These are lot of buns in singles and we are very pleased with where we are at on executing against these at this point.
Mark Delaney: That's helpful. And a follow-up question, as I was hoping for some more color on the mobility business. When your competitors [indiscernible] actually raised their mobility segment guidance for this year looking for low-to-mid single-digit organic growth and actually talked seeing strength in international business there. Is anything going on in terms of market share in that segment?
Mark Olson: Relative to their model I think so, we are -- we cover the globe and we cover virtually everything on the infrastructure side of the market which is different than anybody else in this business. And so I think it's hard to equate -- maybe within there or portfolio as to what they see strength and which customers and/or markets they may concentrate on. So we feel good about where we are relative to people that are like us and it's -- we are proud of being the leader in the mobility segment and continue to be a strong leader.
Eddie Edwards: And Mark you may have heard the comment earlier that organically we expect mid single digit growth in the wireless business here in the U.S. this year as well and I think that is the one of the primary markets for the firm you had referenced.
Mark Delaney: Thank you.
Operator: Next question comes from the line of George Notter with Jefferies.
Eddie Edwards: I'm sorry, we didn't hear the name.
Operator: George Notter.
Eddie Edwards: Okay. Thank you. Hi, George.
George Notter: Hi guys, thanks a lot. I guess I was trying to better understand the process involved which they are ramping capacity on the fiber connectivity side. I think you said earlier that, the capacity would really come online, I think just in year end. And you added 3,000 people. Can you just walk us through the process involved, why does it take so much time I guess to ramp up that capacity?
Eddie Edward: Well you know we have to buy some equipment, we have to train people, the equipment is not instantaneously done, we have to make sure that we have a layout in our factories that is efficient. So we have to move things around. We have to make sure that there is supply chain can support us. There is no reason to ramp up and then have to stop because you supply chain is not efficient. So there is a lot, there is a lot to do and we are - we have a significant integration going on that impacts all of these locations as well, so it's not, let's go start and get it done next week model, its this much, its takes months of time, they had a certain level of capacity, when we acquired the business, the business in the last few months has grown dramatically and I think far exceeding what most people would have expected. And the technology that we got from BNS is extremely good, their products and solutions are accepted widely across the world and so there is just an enormous amount of demand put on those factories to produce. So it's not an easy task, George, to get this done and that we are making progress.
George Notter: Got it. And then the last question I had was just on, I want to ask about a couple of new products -- power shifts I think you guys are trying shipping as recently, any sort of thoughts there on how big that can be for you and then I guess I just thought I'd ask you about I&E [ph] as well. Thanks
Eddie Edwards: Okay, INE is now proved here in North America by Orge [ph] Carriers. We have revenue generated here, Europe, Middle East with sites that are well in excess of million dollars each. So that's taking off now as we expected it would have maybe later than we had hoped but it is now being realized and I think the efficiency of its software base capability of rolling it out is very appreciated by our customer base. So that is something that we think over the next few years will distance itself from some of the other products that have been on our portfolio for a long time. In the power shift product, we are marketing that now, it's brand new product that has just come out. We have high expectations because of the efficiency that can be realized in the macro environment. So we think it's going to be a good settle for us.
Operator: The next question is from the line of Shawn Harrison with Longbow Research.
Shawn Harrison: Hi, good morning everybody. I was hoping that I guess, dig in a little bit to the, I guess what was formerly called the enterprise in broadband businesses. I think you highlighted strength and go with America particularly in the second quarter and just I guess compare and contrast how you see those businesses in North America versus international, second half versus first half and if you are seeing any sharing gains in that business as well?
Eddie Edwards: In the first half, Shawn, we did see nice mid single digit growth in the enterprise market. You know we see a growing data center market generally and much more so moving into the second half of the year. Outside the U.S. we saw declines in the sales into the enterprise business though. And at this point well, to my earlier comments, there will be ebbs and flows there. We are not at the margin optimistic about the recovering in the international markets in the aggregate at this point for the second half.
Shawn Harrison: And, Mark is that more of a function of macro factors…
Mark Olson: Yes, Shawn.
Shawn Harrison: Okay.
Eddie Edwards: That's what exactly what we would point to is Europe has been slow and we don't see it recovering, we don't see it materially worsening but not recovering at this point and you know relative to other markets like the Middle East, we would have the same commentary. Yes, in India the biggest macro factor there for us has been more on the wireless side with spectrum options. Of course within the enterprise market that wouldn't be a factor but at this point we see accelerated growth in the US market for the enterprise space in the second half but we are cautious around the international outlook right now.
Shawn Harrison: Hi, are you seeing acceleration in the old broadband coax hybrid coax business? It seems like antennas saw a very healthy quarter?
Mark Olson: Yes, we are. For us, that's more on the outside plant market and again a side comment that's above 0.5% though the company's consolidated revenue is sales into that outside plant market that has a very nice mix of fiber products and we were able to sell some very attractive solutions into that market which is growing very rapidly.
Shawn Harrison: Okay. And then lastly, I will be quick, if I think about debt reduction remaining you know $400 million or so versus that $1 billion target, it should imply some extra cash to play around with next year. I know you didn't put any plans in place at the analyst stage but is there updated thoughts maybe on buy back or other avenues for deployment in 2017 once you pay down the debt?
Eddie Edwards: Yes. Our priority uses for cash on, first of course, is to reinvest in the business, but in the medium-term, our target is to de-lever in the two to three times ranges. And so, we are very comfortable having pay down $650 billion of acquisition debt effectively within 12 months after having closed the deal, that we will meet that $1 billion commitment. Well, we think as well as the impact of that has not only on the mechanics of de-leveraging, but we think that has very discrete value to our shareholders as we reduce our leverage. And so, our free cash flow generations, you know, has strengthened. That gives us more optionality, and we will have more options and alternatives available to us as we get closer to that two to three times net leverage ratio.
Operator: Thank you. Your next question comes from the line of Steven Fox with Cross Research.
Steven Fox: Hi, good morning. Just two product questions from me; just specifically on coaxial cable as it relates to maybe being pulled through with fiber, can you talk about how that product performed during the quarter? I think that's what the product question was referring to with regards to [indiscernible]. And then secondly, in terms of the recent uptick in category 6A cabling, how is that overall affecting your business, when you think about market share, margins, mix etcetera? Thanks.
Eddie Edwards: Steven, it's Eddie. On the 6A side, they are the strong seller for us. We are, I think certainly the leader in that market, and it's better margins than what the lower category cables would be. So, it continues for attachments in the plenum for a lot of wireless devices, but it continues to be strong and a bright sport from the copper side in that marketplace. From the coaxial standpoint, it's part of that portfolio. I think we focus on the whole portfolio just not coax versus fiber. So that whole broadband area is showing a lot of growth more so than we have seen for years, because of deployments of Fiber-To-The-X or some places where coax is used, but fiber would be the strong grower relative to the coax though.
Steven Fox: Thanks very much.
Operator: Your next question comes from the line of Simon Leopold with Raymond James.
Simon Leopold: Thank you for taking my question. I wanted to follow-up on the wireless group, particularly if you could help explain how your mobility business is either uncorrelated, or how it's different in terms of trends relative to the base station suppliers and CapEx? And within that, I think in the past you have talked about benefiting from refreshes to antennas in particular with operators deploying multi-band antennas, replacing old antennas. Could you help us understand where that particular psycho is within the context of that bigger question? Thank you.
Eddie Edwards: Well, the time at which they buy an antenna versus a base station is -- could be different. And if it's in a developing country, where we do site-wise solutions and build the whole array at the top of the tower, you know, that would be similar. If it's here in North America, where the towers or the carrier directly buys the antenna, they would probably buy it at a time that is shortly after when the base stations are bought. But I don't think there is a direct correlation as to an OEM's revenue versus ours. I think you will see a lot of difference there, relative to what you see from them.
Mark Olson: Another way to think about that, Simon is that densification at the macro cell tower is one of the primary ways that carriers are densifying. That requires incremental antennas, but not necessarily incremental base stations.
Simon Leopold: And in terms of the refresh cycle to multi-band antennas?
Mark Olson: You're right. That's still happening, and I think we have said before that we sell some of our carriers buying antennas to replace once they bought less than three years ago because of what we can concentrate in the [indiscernible] on the same size and save them money in an OpEx standpoint versus having to put to multiple antennas on the tower. So, it helps in wind loading, it helps in OpEx from a rental standpoint, and that is still happening.
Jennifer Crawford: Thanks, Simon.
Operator: Thank you. Your next question comes from the line of Avi Silver with CLSA.
Avi Silver: Thanks for slipping me in. Follow-up to the earlier question on gross margin, you talked about a few things driving gross margin, product, your graphic mix, and I guess the higher synergies. In the second half, it doesn't seem like the mix is poised to change much based on your regional and product inventory, and as you said, the synergies are going to accelerate in the second half of the year, is that a correct assessment?
Eddie Edwards: Yes, I think that's a fair synopsis, Avi. As I've mentioned of course we achieved the record first quarter gross margin in the March quarter. We achieved all-time record of 42 points in the June quarter. And we have not gotten accustomed to having our gross margins start with a four, and we don't expect that to change.
Avi Silver: Okay, great. And just one quick follow-up, it seems that the free cash flow outlook is going up to about $480 million to $490 million, and in the last quarter you guided free cash flow this quarter to -- cash flow from operations just assuming CapEx is around $60 million or $70 million for the year. So the lift in free cash flow guidance is stronger than the lift in earnings for the year. I guess I wanted to understand what's driving that? Does that speed up your de-leveraging plans? I think you are guiding in the presentation, you said approximately four times net leverage now. I think in the last quarter, you said low four times leverage. That's a bit subtle, so just wanted to clarify that. Thanks.
Eddie Edwards: That's very perceptive, Avi.
Avi Silver: Thank you.
Eddie Edwards: Yes, we have raised our free cash flow guidance. The U.S. versus international mix is a helper there. And it's also a credit to the entire team here on the working capital management. And that's something that has been the hallmark for the company. And when you are 4.5 times levered, it's something that you tend to focus on, do even better. And so, yes, we have raised our cash flow guidance and approximately four times versus low four times is perceptive. Thank you.
Avi Silver: Thanks.
Jennifer Crawford: Carmen, are there other questions in the queue?
Operator: Your next question is from -- your last question is from the line of Walter Piecyk with BTIG.
Walter Piecyk: Thanks. Can you talk about -- in your small cell business, whether there has been any change in kind of where the orders are coming from between operators and maybe other companies that are doing this type of work for those operators? It's my first question, and then the second -- by the way on that, I assume that that's getting driven by some connectivity space, and that's kind of the key driver what these guys are doing on the small cell. And then on the second thing I think I wanted to ask about the issue that we identified about the Metro companies or Metro pushback from some of these small cells and how they were [indiscernible] and that might have been slowing some kind of the small cell build. I am just curious, have you actually seen the operators or the companies are doing work for them come back to you and say, give us some more of these -- more I guess, or smaller versions of your antennas things that shielded better. And if so, does that drive higher ASP and drive higher margins for you, if there is an overall shift to those types of products?
Eddie Edwards: Okay. We sell DAS, small cell DAS and we will sell the smaller cell new products. We sell them to the carrier. We sell them to the tower guys. And we can sell them to the enterprise customer. And so, we have an excited bunch of partners on the enterprise side waiting to get their hands upon these things as they believe this is going to be a huge market in that enterprise network. So I think CommScope is well-positioned because of the diversity of products and customer set that we have that we can cover all of those. We make coverage devices, solutions that are hidden inside. We have a lot of those in historic areas that don't want to see an antenna, or at least an [indiscernible] antenna in their neighborhood. I think your perception of some of this stuff looks ugly, and we have a lot of pictures of that examples where we sort of drive around and stop and take pictures. So, I do think a lot of the neighborhoods are up in arms about people trying to put antennas, or any type of antenna in their neighborhood. I think we have seen in Charlotte, it's been in the paper, a lot of the neighborhoods in Charlotte are having that issue right now. So, this site acquisition is a big deal. It's something that -- I think the question earlier, it is a delaying problem to get deployed, and we generally are not involved in that process from the standpoint that would be a tower people or the carrier. Enterprise is pretty easy. They can add this stuff inside their building, but that could be a part of the delay. This is relatively new products, and so, that's part of the issue too to make sure you have the right mechanism to get to market.
Walter Piecyk: So, have those guys come back to you and asked for products that will help them get those approvals?
Eddie Edwards: We work with them to solve any of those needs that they have. So I don't know specifically. We can get the answer to that for you. I don't know specifically any instances.
Walter Piecyk: And then maybe just lastly, just a follow-up on the first question; is it the connectivity group where that cells or distribution relationship is going to exist as this business evolves for the operators, because I would think that the vast majority of the cost is really on the fiber side and the antennas that they are using on these lamppost are de minimis.
Eddie Edwards: Well, you know that these things can also have active radios in them too. That's [indiscernible] product will. So, the intent will be where it's more of an enterprise-oriented cell that our enterprise team or our connectivity team, service provider team, whatever, would carry that responsibility. If it's still going to be a carrier responsibility, then our wireless -- mobility sales force would deal with that.
Jennifer Crawford: Thanks a lot.
Operator: And at this time, I would like to turn the call back over to Eddie for any final comments.
Eddie Edwards: Okay, thank you, Carmen. I would like to thank each of you for taking the time to join us on our earnings call today. We appreciate your continued and tireless interest in CommScope. We are extremely pleased with our start for the year. We delivered record second quarter margins, robust free cash flow, and stronger-than-expected bottom line results, all while delivering and increasing our cost synergy plan. We feel confident in our market position and expect to build on it over the long-term. So, thank you, and we will talk to you again next quarter.
Operator: Thank you for participating in today's conference. You may now disconnect.